Operator: Good evening, and welcome to Universal Music Group's Fourth Quarter and Full Year Earnings Call for the period ended December 31, 2024. My name is Nadia, and I'll be your conference operator today. Your speakers for today's call will be Sir Lucian Grainge, Chairman and CEO of Universal Music Group and Boyd Muir, COO and CFO. They will be joined during Q&A by Michael Nash, Executive Vice President and Chief Digital Officer. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. As a reminder, this call is being recorded. Please also let me remind you that management's commentary and responses to questions on today's call may include forward-looking statements, which by their nature are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may vary in a material way. For a discussion of some of the factors that could cause actual results to differ from expected results, please see the Risk Factors section of UMG's 2023 Annual Report, which is available on the Investor Relations page of UMG's website at universalmusic.com. Management's commentary will also refer to non-IFRS measures on today's call. Reconciliations are available in the press release on the Investor Relations page of UMG's website. Thank you. Sir Lucian, you may begin your conference.
Sir Lucian Grainge: Thank you, and greetings to everyone from Hilversum, and thank you for joining us on today's call. As you can see from our results, 2024 was another tremendously successful year for us at UMG. Whilst there's so much we can say about last year's achievements, today, I'll focus on two important aspects of our business. First, the continuing phenomenal creative and commercial success of our artists with a particular emphasis on our artist development efforts; and secondly, the impressive progress we've made on the ambitious strategic agenda we presented last September at our Capital Markets Day, including a few exciting recent developments that are turning those strategies into realities. In a few minutes, Boyd will dive deeper into the numbers. But for a moment now, I'd like to point out a couple of exceptionally positive ones. Our full-year revenue growth of 8% and adjusted EBITDA growth of 14%, both in constant currency. For those of you who are keeping score, which probably means most people on this call, with today's results, we posted healthy revenue and double-digit adjusted EBITDA growth for each and every year since 2021 when UMG became a stand-alone public company. The heart of our success is, of course, the creative brilliance of our artists and songwriters. The worldwide consumption of the music of our artists and songwriters remains simply extraordinary. They're shaping culture across the entire globe. I'll give a few of the many, many examples. Early each year, the IFPI, which is the Global Recorded Music Industry Association, announces the world's top-selling artists for the prior year. For 2024, and for the second consecutive year, UMG had nine out of the top 10 of the world's most commercially successful recording artists, including all of the top five and with Taylor Swift at number 1. Consider the fact that since 2018, UMG has had no less than seven of the top 10 artists on this annual chart. No other company in the history of the global artist job has come even remotely close to UMG's outstanding performance year after year. In addition, on Spotify last year, we had four of the top five artists globally, The Weeknd, Drake, Billie Eilish and Taylor Swift at number 1 again. And we had five of Spotify's top five artists that were signed to Universal Music Publishing Group. On Apple Music, where Billie Eilish was named Artist of the Year, we had six of the top 10 most streamed songs with Kendrick Lamar at number 1. On Amazon Music, UMG had seven of the top 10 most requested artists on Alexa with Taylor at number 1 again, followed by Eminem, Morgan Wallen, Olivia Rodrigo, Karol G, Billie Eilish and Drake. In the U.S., the world's largest music market, UMG had the top three label groups according to billboard as well as four of the top five artists and eight of the top 10 albums including all of the top five. And on YouTube, we had six of the top 10 songs. In fact, UMG had its best U.S. performance in 6 years according to Luminate. In other major markets, specifically the U.K., Germany and Japan, so much the engine of our recorded music business outside of the U.S., our artist success last year was also spectacular. In the U.K., UMG had seven of the top 10 albums including all of the top six as well as six of the top 10 singles, including Noah Kahan at number 1. In Germany, we had five of the top 10 albums, including Taylor and Billie Eilish at number 1 and number 2. We also had five domestic breakthrough artists. In Japan, UMG had five of the top 10 singles on billboards Japan's year-end Hot 100 chart, including four singles from Mrs. Green Apple, who were tremendous. Our success is not limited to the world's largest music markets to support local artists in reaching new heights in their home markets, UMG employs some of the industry's most effective specialists in local language repertoire and artist development. The proof is in the pudding. In Brazil, for example, UMG -- yes, it was two of the top songs of the year from Phillipi Rodrigo and Lauana Prado, and the top artist Henrique & Juliano. In the Philippines, Danella was the biggest breakthrough artist of the year. And in Vietnam, we had the number 1 song on Spotify and the number 1 song on Apple Music, both by local artists. So, this will give you some feel of our domestic talent regionally. Breaking new artists is fundamental to our culture. We're very proud of it. All of our teams around the world share a passion for doing just that. And in 2024, strategic investment in new talent continue to produce remarkable results. One powerful fact we're especially proud of, UMG broke the two biggest breakthrough artists in the world last year in Sabrina Carpenter and Chappell Roan. Chappell Roan, won The Best New Artists at the Grammy's as UMG's artists and songwriters won a record-breaking total of more than 50 Grammy's, yes, 50 Grammy's combined. Already in 2025, we're seeing enormous success with developing artists, including Lola Young, who recently hit number 1 for 4 consecutive weeks in the U.K.; DOECHII, who won the Grammy for the best wrap album and Gracie Abrams, whose single have spent multiple weeks at number 1 in markets all around the world. And at last week's Brit Awards, UMG artists, including Sam Fender, Stormzy, The Last Dinner Party, Sabrina Carpenter and Chappell Roan were all recognized. While all these achievements by both our new artists and our superstars have come to be expected, we never forget the achievements like these don't just happen. They have a combination of a rigorous incomparable and company-wide professionalism that prides itself on maintaining a clear vision and then executing it. Now for that second important area, I'd like to turn your attention to the growth strategies we spoke about at our Capital Markets Day back in September. In fact, we're already turning those strategies into realities. There are three initiatives, in particular, I'd like to talk about in some detail. First is how we are working with our DSP partners to drive the exciting new era of sustained growth we're calling streaming 2.0. Second, is our focus on a growing business that will be complementary to our frontline label business. That growing business is our artist and label services business, which provides a broad set of resources to a wide range of artists, labels and entrepreneurs. And third, our growth strategy, which dovetails nicely with the first two, expanding our global footprint. As we discussed at our CMD, streaming 2.0 will build on the enormous scale we've achieved thus far in streaming's initial stage. This next stage of streaming will see it evolve into a more sustainable and growing artist-centric ecosystem that improves monetization and delivers great experiences for fans. At the same time, enhanced consumer acquisition strategies will drive greater conversion by fans from free to paid. And then from paid on to super premium tiers enabling us to segment and capture customer value at higher than ever levels. But execution requires a highly nuanced approach and one which adapts to the specific characteristics of each individual platform. Its particular product, our road map, distinct subscriber base and obviously, the regional variations, culture, language, styles, genres, et cetera. I'm delighted to report that our work to usher in streaming 2.0 is well underway. After introducing our 2.0 strategy in September. By year's end, we completed the first major new DSP deal to incorporate the key principles of the strategy. Therefore, in December, UMG and Amazon Music announced an expanded global relationship, one that will enable further innovation, secure implementation of artist-centric initiatives, advanced AI and fraud protections and promote revenue growth. Following closely on the heels of that deal, just last month, we announced new multiyear agreements with Spotify for record music and music publishing, fully embracing our streaming 2.0 framework. These agreements provide for new paid subscription tiers, the bundling of music and non-music content and a richer audio and visual content catalog that will benefit artists, songwriters, platforms and consumers alike. These agreements also renew the two companies' commitment to artist-centric principles, ensuring that our artists will continue to be properly rewarded for the share of our audience engagement they drive, and that Spotify will protect our artists music through fraud detection and enforcement systems. The agreement with our publishing company establishes a direct license across Spotify's current product portfolio in the U.S. and several other countries, reinforcing a mutually beneficial relationship between songwriters and the platform. We are extremely encouraged by this initial implementation of streaming 2.0, aligning our goals with those of our platform partners, both the Spotify and Amazon deals are win-win initiatives that will deliver meaningful growth and benefit the entire music ecosystem. The next growth strategy I'd like to talk about is the increasing focus we are placing on expanding our artist and label services business. The independent services space is highly competitive and a growing part of the industry. The reason so many independent music entrepreneurs actively seek to partner with UMG, where they have more alternatives than ever before is that we provide what they're seeking, the most innovative creatives and the finest resources to advance their artist careers and achieve their financial goals. We are committed to ensuring that UMG continues as the premier destination for the industry's best entrepreneurs and independence. After all, UMG's core is a collection of some of the greatest labels in music that always started as independent. And today, we continue to foster a culture whose highest priority is respect for artists and entrepreneurs. Here's just one example of our efforts in this direction. In December, as you know, Virgin Music entered into an agreement to acquire Downtown Music Holdings, which will enhance our capabilities in serving the independent music community. The Downtown has divisions in artists and label services, distribution, royalty and financial services and music publishing. Its businesses include FUGA, Downtown Artist and Label Services Curve Royalty, CD Baby, Downtown Music Publishing and Songtrust. We expect the deal to close later this year, at which put Dirty Music Group and Downtown will offer a broadened and enhanced suite of services to clients, including digital and physical distribution, release marketing, business intelligence, neighboring rights, synchronization, Royalties and Royalties management. By investing in businesses like Downtown that can and do support today's leading music entrepreneurs, we can also help to advocate for an advanced policies and practice that will further protect and grow the entire music system. This brings me to the third and final strategy I wanted to touch on. Expanding our global presence, particularly in music markets with a high potential for growth and expansion achievable in a number of ways by partnering with local labels, by developing local artists and through M&A. Furthering our efforts to partner with local labels, Virgin Music Group, a critical player for us in global expansion has formed two new strategic partnerships with Hungama Digital Media, a leading digital entertainment company across South Asia and RainLabs, a distribution and label services company headquartered in Ghana. Then in China, Universal Music Greater China and China's Independent Music Label Modern Sky announced a strategic distribution agreement that will provide Modern Sky's catalog and roster of artists with access to UMG's worldwide distribution network. Our Modern Sky agreement will also open doors for an expanded collaboration between the two companies. Founded in 1997, Modern Sky with a current roster of over 120 -- sorry, 150, a pioneer in China's music scene and a trendsetter for the country's youth culture. Also, in China, we signed an exclusive global agreement with Leehom, known as the king of Chinese Pop, very proud to have to have him join our group. Finally, we're also expanding our presence in established markets around the world where local repertoire and adjacent businesses continue to present exciting growth opportunities. For example, Universal Music Japan recently acquired a majority stake in A-Sketch, a leading Japanese music company that operates as both at record label and an artist management business. Founded in 2008, A-Sketch has successfully signed and develop artists across a variety of genres, including Rock, J-pop and anime music. A-Sketch is also home to Mash A&R, one of Japan's leading rock management companies. The acquisition will further bolster our Japanese companies in-house artist management capabilities, creating new opportunities, both domestic and global, for its artists and obviously, their fans. As I indicated when we began today, our filers have merely skimmed the surface of UMG's incredible accomplishments in 2024. We're energized by what we did last year and by the positive steps we've already taken this year. Following through on our strategic initiatives, coupled with the creative momentum we continue to build, we're looking forward to a strong 2025. We'll be updating you as another exciting year continues to unfold. So, thank you for letting me through that with you. And with that, let me turn it over to Boyd, who will walk you through the numbers and the financials. Thank you.
Boyd Muir: Thank you, Lucian. As you've heard Lucian, 2024 was a year defined by not only the exceptional performance of our artists and songwriters, but also important progress on our strategic initiatives. This success has translated to continued strong financial performance in 2024 with healthy growth in both the top and bottom line. For the year, revenue grew 7.6% and adjusted EBITDA grew 13.8% in constant currency, resulting in an adjusted EBITDA margin of 22.5%, up 1.2 percentage points compared with 2023. 2024 earnings per share grew to EUR1.14, up from EUR0.69 in 2023, and adjusted diluted earnings per share grew to EUR0.96, up from EUR0.88 in 2023. We achieved our expected EUR75 million in cost savings in 2024 as we implemented Phase 1 of our EUR250 million cost savings program over the course of the year. We continue to expect an incremental EUR50 million of Phase 1 savings to benefit 2025. We will update you on our plans for implementing Phase 2 of the plan, which is expected to see another EUR125 million in cost savings on a later earnings call. but that implementation remains on, if not slightly ahead of schedule. Before turning to the results for the quarter, I'd like to mention two items that impact the comparability of our results versus the prior year. This detail is laid out on the slide you see in front of you but as well as in the items impacting comparability of results table, which is in our press release. Firstly, the fourth quarter of 2024 includes catch-up income of EUR20 million from a DSP partner related to new product rollouts in the second and third quarters of 2024. This was booked and recorded music subscription revenue and had associated EBITDA of EUR12 million. Since this revenue relates to activity in the second and third quarter of 2024, this is not an item impacting comparability for full year 2024. And second, there were 2 legal sentiments in the quarter, 1 with the brand and 1 with a little joint venture partner, where we have now exited the joint venture. Together, they accounted for EUR40 million of revenue and EUR29 million of EBITDA and are booked primarily in recorded music licensing with a small amount in music publishing. While we are calling the settlements out for purposes of comparability, these types of legal recoveries are not unusual in our business, and represent real value earned from the copyrights that we own. Let me also remind you about two items that we disclosed in the prior year. The fourth quarter of 2023 included a EUR50 million legal provision, which negatively impacted recorded music EBITDA. And the third quarter of 2023 included the CRB catch-up accrual, which added EUR53 million in revenue and EUR 11 million in EBITDA to music publishing. With that out of the way, let me turn to the quarterly results, where I will also provide figures adjusted for the items impacted impacting comparability. In the fourth quarter, revenue grew across all three business segments, with total revenue up 7.9% in constant currency. Adjusted EBITDA grew 19.1% in constant currency, and adjusted EBITDA margin expanded 2.1 percentage points to 23.2%. Excluding the items impacting comparability in both years, total revenue grew 6.1% and adjusted EBITDA grew 10.5% with margin up 0.8 percentage points to 22.4%. Now let me turn to the results from each of our business segments. Recorded Music revenue grew 6.8% for the quarter and 6.4% for the year in constant currency. Excluding the items impacting comparability, recorded music revenue grew 4.6% for the quarter and 6% for the year. Recorded music adjusted EBITDA grew 12.9% for the year. Excluding the items impacting comparability, recorded music adjusted EBITDA grew 10.7% in 2024. And adjusted EBITDA margin expanded 1 percentage point to 25.3%, driven by revenue growth, operating leverage and cost savings from the previously announced strategic organizational redesign. Looking further at recorded music revenue. Subscription revenue grew 9% for the quarter and 9.1% for the year. Excluding the DSP catch-up income, subscription revenue grew 7.2% for the quarter. As a reminder, in the fourth quarter of 2024, we anniversary certain meaningful 2023 price increases, which was the primary driver of the slowdown versus the growth rate in the third quarter of 2024. This was partially offset by a smaller benefit from certain 2024 price increases. It's also worth noting that weakness from fitness platforms drive our subscription growth rate down by nearly a full point in Q4. Ad-supported streaming revenue declined 4.1% in the fourth quarter and was flat for the year. Engagement and the consumption of music-based content continues to grow. And demand from advertisers remains strong. However, consumption is shifting from better monetized video platforms to short-form platforms, which are not yet as well monetized. While this creates an opportunity for the medium term as short-form video monetization by the platform platforms improves, and we take a greater share of the value we are driving for them. We expect continued near-term pressure on this revenue line. However, our comps will ease as we head into the first and second quarters of 2025 as we anniversary the months where our content was off of TikTok platform and the loss of the premium music video license with Meta. Physical revenue grew 3.4% in the fourth quarter and 1.1% for the year despite difficult comps. This result was better than expected when considering our physical revenue grew an outstanding 17% in the fourth quarter of 2023 and 19% in full year 2023. License and other revenue also performed well against a very difficult comp. Revenue grew 12.4% in the fourth quarter and 13.5% for the year. Excluding the legal sentiments, License and other revenue grew 4.6% for the quarter and 10.8% for the year, driven by strength in neighboring rights, synchronization, touring and audiovisual production income. Recall that our licensing and other revenue saw timing-related benefits that grew 34% growth in the fourth quarter of 2023. For the year, revenue growth was well diversified geographically, with 7% growth in North America, 20% growth in Latin America in Asia despite against a difficult comp in Japan, 5% in Europe, the Middle East and Africa and 2% in the rest of the world. Top sellers for the year included multiple items from Taylor Swift and albums from Billie Eilish, Sabrina Carpenter, Morgan Wallen, Chappell Roan, Noah Kahan and Ariana Grande. Turning now to Music Publishing. Revenue grew 7% in the quarter or 5.6% excluding the settlement referenced earlier. Declines in synchronization mechanical revenues were largely due to timing, but weighed on the overall growth rate for the quarter. These revenue lines can be variable and therefore, this segment is better viewed over the course of a year. For the year, Music Publishing revenue grew 9% and grew 11.7%, excluding the items impacting comparability. The healthy music publishing growth for the year was fueled by strength in streaming and subscription as well as performance revenue. Music Publishing adjusted EBITDA grew 9.2% for the year or 11.5%, excluding the items impacting comparability, and adjusted EBITDA margin was flat at 24.1%. Moving now to merchandising. Against difficult comps, Merchandising revenue grew over 23% in the quarter and 19.3% for the year. This growth was not impacted by any of the unusual items and reflects robust super fan demand that is driving strong growth in both direct-to-consumer and touring revenue. However, we are facing a very difficult comp and expect a slight decline in this business in 2025 due to the timing of major artist tours. Merchandising adjusted EBITDA for the year declined 6.5% due to higher manufacturing and distribution costs. Merchandising margin was also impacted by the outsized growth in lower-margin touring merchandise sales. As we continue to scale our direct summer operations, we expect margin improvement in this business over time. Net profit for 2024 amounted to EUR2.09 billion compared to EUR1.26 billion in 2023, resulting in earnings per share of EUR1.14 compared to EUR0.69 in 2023. The increase in net profit in 2024 included an increase of EUR1.2 billion in the valuation of investments in listed companies compared to an increase of EUR425 million in 2023. We had EUR329 million in noncash share-based compensation expense for 2024 compared to EUR561 million in 2023. With initial transition grants from the rollout of our first equity plan now behind us, we expect about EUR230 million in share-based compensation expense for 2025. The figures for 2024 and for 2025 are higher than originally anticipated due to the strong financial performance of the company. Adjusted net profit, which adjusts for the revaluation of investments in listed companies and for the share-based compensation expense as well as amortization of catalogs, restructuring charges and some other items, grew 9.6% to EUR1.78 billion in 2024, resulting in adjusted diluted earnings from 9.1% to EUR0.96 compared to 88% in 2023. In line with our commitment to pay a dividend of at least 50% of our net profit as adjusted for certain noncash-related items, UMG has proposed a final dividend for 2024 of EUR512 million or EUR0.28 per share. If approved at our AGM, this would bring our full-year dividend to EUR0.52 per share, a slight increase from our 2023 dividend. Now let me turn to cash flow. In 2024, our net cash provided by operating activities before income taxes paid was EUR2.1 billion compared to EUR2.3 billion in 2023. The decline was largely due to a EUR97 million increase in cash restructuring charges as a result of the strategic organizational redesign and also an EUR86 million increase in net royalty advance payments due to the timing of major artists renewals and also a further EUR65 million increase in cash used to cover employee withholding taxes related to our equity plan, which, as a reminder, is settled in cash in order to lessen the dilutive impact of issuing additional cures. As expected, net advances were meaningfully lower in the second half of '24 than in the first half due to the timing of artist deals. Full year 2024 royalty advance payments, net of recruitment amounted to EUR186 million compared to EUR100 million in 2023. Income taxes paid declined to EUR349 million from EUR393 million in 2023, and net interest was EUR81 million compared to EUR77 million in 2023. Free cash flow before investing activities amounted to EUR1.6 billion in 2024 compared to EUR1.7 billion in 2023. The decline was due to the same items I just noted regarding cash provided by operating activities. Conversion to free cash flow before investments was just over 59% of adjusted EBITDA. This is roughly in line with our guidance of 60% to 70% conversion, which we noted that some years would be above and some years below this rate due to timing. This significant cash generation allowed us to continue our long-term strategic investment in the business. As anticipated, we spent just over EUR1 billion on investments in 2024, including both catalog and other acquisitions, which is roughly in line with our expectations over the coming years as well. Free cash flow amounted to EUR523 million compared to EUR1.1 billion in 2023, driven by the increase in investments. To give you a bit more color on our investments, in 2024, we spent EUR266 million on catalog acquisitions, up from EUR178 million in 2023. Capital lending in 2024 included EUR73 million from the previously disclosed 2023 deal that was in escrow until early 2024 as well as the acquisition of the remaining stake in RS Group, among other items. The remainder of our 2024 investment spending focused largely on deals, which push forward our strategic initiatives, including Nigerian label, Maven complex network card and the acquisition of the remaining stake in PS. We have a very healthy balance sheet with low debt and significant flexibility. Our net debt was EUR2.1 billion at the end of 2024, leaving us with a leverage ratio below 1-time EBITDA. Our capital allocation priority remains reinvestment in the business, both through signing and developing artists around the world and where appropriate, through continued strategic M&A opportunities. And in addition, of course, we continue to pay a meaningful dividend. So, thank you. And with that, Lucian, Michael Nash and I will take your questions. So, operator, could you please open the line for Q&A.
Operator: [Operator Instructions]. Our first question goes to Michael Morris of Guggenheim. Michael, please go ahead.
Michael Morris: I appreciate all the details. Two questions. One, first is on the pace of recorded music subscription streaming revenue growth in the quarter. It sounds like if we excluded the fitness portion, it was actually 8%, which is a very strong in your guidance range despite the fact that we didn't have price increases. So, my question is, is the volume side of the business pacing ahead of where you thought it was? Could you share the drivers there or perhaps we underappreciate the pricing side despite the lack of price increases? That's the first one. My second question is on super fan and super-premium tier and the progress towards seeing something there. It sounds like the work you did with Amazon and Spotify are paving the way what are the remaining sort of hurdles to getting a product launched? And also, can you tease for us anything in terms of what might be included in that? I know it's still early, but what are some of the things that you and your artist partners want to get in front of consumers? Thank you.
Michael Nash: Thank you for your questions, Michael. Let me address the first one with respect to the pace of subscription growth. And in terms of your math, or 9% in the quarter, you made the 1% adjustment on the fitness piece, which would take it to 10 with the OTIs, understand how you're getting to the 9, and we're tracking on your calculations. But with respect to the big picture, when we discussed the Capital Markets Day, we expect a CAGR over the midterm of 8% to 10%. We presented a comprehensive plan for how we're going to execute against that guidance. Streaming 2.0, which Lucian went into some significant detail in his presentation earlier on the call. And we've executed two major deals with Amazon and Spotify that demonstrate how the execution plan is going to unfold. In terms of expectations, our updated consumer research in the global subscription market tracked to the financial results that we just reported, this 9% range. Let me be specific there and also give you a little bit of update on talked about in terms of growth expectations at Capital Markets Day. Our research shows that global subscriptions, which means the payers grew just over 9% in 2024. And in terms of geographic mix, 45% of current subscriber base in the developed markets and 55% is now sitting in the high-growth markets, including China. That roughly corresponds to the picture that we paint at Capital Markets Day. Going forward, on a global basis, we see expansion in the total addressable market in the TAM at about EUR230 million Capital Markets Day, we talked about the total addressable market in the neighborhood of EUR220 million. So, the updated research shows an even larger consideration set -- that breaks down about 1/3 in adult markets and 2/3 in emerging markets, again, roughly corresponding to the picture that we paid in the Capital Markets Day. So, everything that we're seeing in terms of the results we just reported for the fourth quarter for the year, supported by the consumer research is extending the picture that we articulated at a Capital Markets Day. And in fact, we see some basis for even more optimism in terms of the expansion of the total addressable market. Now in terms of progress on super fan and on the super-premium tier, and we talked to Capital Markets Day about preliminary information that Spotify had provided and also about the very exciting experimentation with the super VIP tier by Tencent in China with the most recent announcements on -- by Spotify in terms of the fact that they're working now to develop a beta, they're committed to launching the tier that's going to be at a higher price point include enhanced features. We're excited about that development. We're in conversations with all of our partners about super-premium tiers. We think that this is going to be an important development term segmentation of the market. We don't have too much more to add there except to point back to the consumer research that identifies an opportunity with scope about 20% of current subscriber base, that's the target for the super-premium tier with a mix of different product configurations, and we do expect the platforms are going to compete on product with differentiated super-premium tier offers. So, we're not necessarily looking for standardization there. I think that's about all that we're prepared to discuss at this point. Obviously, the plans of our partners are still confidential will unfold over the course in 2025.
Boyd Muir: And Michael, maybe I could say something to Michael. Just to clarify a little thing, which is that Michael's math were that it's 7%. But if you then -- basically, if you then discount or you take out the impact of the drag from fitness platforms is 8%, not 9%. So, Mike -- Morris, your math was right at the end. The only thing I would actually add, however, is, again, we're into this kind of narrative about quarters. Any single quarter can be influenced by a past number of factors from market conditions to what happened in the previous year, the timing of deal renews revenue classifications, various accounting M&A. So, all I just have continued to, and you'll hear me say this on and on so forgive me, but the reality is there are going to be differences by quarter-by-quarter. And then please, please, please, try to encourage you to slightly longer time horizon.
Operator: The next question goes to Omar Mejias of Wells Fargo. Omar, please go ahead.
Omar Mejias: Good morning, and thanks for taking my questions. Maybe first, Lucian, with new deals now in place with Spotify and Amazon that incorporates elements of your streaming 2.0 concepts and better align incentives for labels and DSPs. How do you expect the pace of product innovation to accelerate going forward? And maybe just as a follow-up and along the same thinking. In the past, you've mentioned specific examples from new features from YouTube as collaborative platelets and elements of gamification. How should we think about some of these new features driving lower churn and potentially better conversion rates to peak tiers? And what are some key categories that you expect DSPs to focus on over the next 12 months to 24 months.
Sir Lucian Grainge: Good question. I think in a way you gave yourself the answer. Bundling the stickiness of music, the opportunities we have to improve ARPU in various regions around the world with different product offerings. The evolution of streaming 2.0, our investment, and how that sits with our investment in local artists around the world, it fuses into the relationships and how we set our deals with the DSPs. And it's all part of the conversations that we've referred to at Capital Markets Day repeatedly about what the super fan will look like the importance of having global as well as local and regional hits. And the entire improvement in the ecosystem with all of the DSPs. They've all got their own nuances, their own businesses, their own hardware, their own software, as we know, some are trial, it's about a trial period, some are ad-funded. But this it's the stickiness of our music and our libraries and our catalog and our global reach, which is why we're able to actually build the ecosystem. I don't know if that answers your question specifically, but it's a combination of many, many things.
Michael Nash: I would just add to expand a little bit that when you look at the next wave of innovation that we expect on product with what we're describing as super-premium tier, and some conversations already public about the elements of that equation. When you look at what's happening with Spotify and with Amazon around audio book bundling, and we like what that does in terms of, as Lucien was saying, subscriber retention and also expanding the market, adding new subscribers. We've talked about research that indicates 60% and of the audio book subscribers in the U.S. are not music subscribers. So, there's a clear opportunity to address with product bundling. Recent announcements like Alexa Plus with Amazon, where you have with the most prominent use case for voice interactive platform, Alexa, being music and music consumption and all the enhancements in terms of personalize the music experience, more relative queries, being able to surface music discovery in new ways and interoperability with the home environment with smart home setups. These are just a few examples there's a continuing wave of innovation that we've seen really transform our business and transform the digital landscape, in particular, over the last decade. And we anticipate that, that's going to continue as the market grows.
Operator: The next question goes to Julien Roch of Barclays. Julien, please go ahead.
Julien Roch: Thank you for taking my question. The first one is on Q4, going back to sub-streaming, if it would be possible to have some color between volume and price, I'm thinking that price was about 1%, but anything you could tell us there would be great. And then the second question is that my understanding is that your contract with DSP is that you have paid the highest of 1 per stream, 2% at retail price and 3 fixed amount per sub. My understanding is that in the new contracts you recently signed with Spotify and Amazon, the fixed amount per se will go up at 1 point. So, is my understanding correct? And can you give us some indication of the timing of that increase? Is end of year bringing up next in the right ballpark?
Michael Nash: Julian, thank you for your questions. Let me take the second one first. We're not prepared to disclose confidential details around any timing associated with our expectations on ARPU. We took a very clear position at Capital Markets Day about streaming 2.0 and the growth not only of the total market, the number of subscribers, but also growth of revenue. So, I think we've been pretty clear there about our intentions. You're right that we typically have three different prongs of revenue capture, we're paid on a greater basis. And as we work to grow revenue, we're obviously going to be working with that formulation. And so that's part of the apparatus. But we're not really prepared at this point to go into any further detail regarding specifics. In terms of -- I mean, in terms of Q4, if I could just -- maybe I can address that, the ARPU in terms of price increase I think I referenced it already and what I said is that there was de minimis price increases in Q4. So really, the growth you see is the growth in terms of subscriber growth and in our relevance in terms of our recapture share.
Operator: The next question goes to Lisa Yang of Goldman Sachs. Lisa, please go ahead.
Lisa Yang: Thanks for taking my questions. Just one on the subscription streaming growth going forward. I appreciate we shouldn't look [indiscernible] quarterly volatility. But with the new deals you announced, how should we think about the potential variability of growth on an ad basis over the next -- over the coming years? So, I know you gave an average of 8% to 10% CAGR. But should we about certain years where you have a deal step up, where you have a deal, the step-up could be at 10% to 12% and over the year, as you could grow around mid-single digit? Or we should be really within that range of 10% going just to have a sense of the bumpiness of volatility we should expect going forward. And I think the second question, I just wanted to clarify. So '24, there were EUR1 billion of investments, which obviously help you with your strategic initiatives. Should we be expecting similar levels of EUR1 billion as well per year over the coming years? And could you maybe give us a bit more color about when we should expect some form of P&L in part, or when do you expect to see some kind of [indiscernible] that would be helpful.
Boyd Muir: This is Boyd. In terms of how do we look into the future for subscription and streaming, we haven't given any guidance on streaming in sense of streaming being advertising fund. We remain, as we have been for the last while, somewhat cautious on ad funded. Until such time as we see a broader pattern of growth, both geographically and across a range of partners, we remain cautious. And there's another aspect to this, which is there is a kind of format evolution going on here between premium music video and shorter form content and the advertising products around shorter form content need to further evolve in order to fully kind of capture the revenue opportunity there. So, some caution on ad-funded streaming growth. On subscription, we're pretty clear. It's -- we've said that through from 2023 through 2028. We see an average CAGR over that period for subscription between 8% and 10%. And we have said, please don't expect this to be completely linear. It's likely to come in Indi exactly as you -- exactly as you pointed out. And anyway, so I think that's probably enough on the outlook for subscription and streaming. On the strategic investments, our capital allocation policy is, I think, first and foremost, investing into our artists throughout the world and that purely kind of operational aspect. Then the second part, which is, I think, perhaps what you were alluding to, is really the investments that we made more M&A related, we've emphasized two kind of priorities, the first priority, not necessarily in terms of the Borton, but firstly, is investment in those geographies, which we're kind of are evolving, where we see the consumption pattern shifting towards paid subscription. We're looking at our relative share in those geographies, we want to ensure that we are positioned in those markets at a similar level to how we are positioned in the more evolved market. So that M&A is we will pursuant. And also, there's M&A in relation to other strategic initiatives and 2024 highlights is -- called out our investment in complex network, which is taking us into the zone where music meets culture, mix commerce and e-commerce and having the relationship with the super fan. So, we are going to, first and foremost, invest into the future growth of our business. And I think we should actually -- you should actually expect similar investment levels in the next few years to what was the situation in 2024.
Sir Lucian Grainge: But I think -- I just like to add, I think there's a significant story in terms of what happened in the past over the last 3, 4, 5 decades insofar as the -- a lot of the markets and regions where we're investing are where there was no investment because there was massive piracy and there was no protection for copyright and IP. So, where markets evolve through music in the cloud and digital distribution and global platforms like Amazon, Apple, Spotify, et cetera, et cetera, where they go, we go with them hand-in-hand, investing in local talent. Now there are some markets where there are enormous libraries and catalogs of labels that were created decades ago, which we can actually put into our M&A strategy with them to continue to invest in their business as the markets, it's more than -- you couldn't even say that they just rebound. They're actually now exist for the first time ever. So, there's distribution. There was what was physical piracy, and now we're able to, with all the data, we're able to actually identify exactly what the audience and what the consumer actually wants in these markets words before, we were running an operating blindfold in terms of the direction in which we were going because we didn't know what the demand was and also there was actually no way in which to actually distribute it other than a very patchy form of distribution, which was in today's market, completely integrated or bid. And that's the reason why.
Operator: Thank you. That's all the questions that we have time for today. This now concludes today's call. Thank you all for joining. You may now disconnect your lines.